Operator: Good day and welcome to the Lakeland Industries Fiscal 2023 Fourth Quarter and Full-Year Financial Results Conference Call. All lines have been placed on a listen-only mode, and the floor will be opened for your questions and comments following the presentation. During today's call, we may make statements relating to our goals and objectives for future operations, financial and business trends, business prospects, and management's expectations for future performance that constitute forward-looking statements under federal securities laws. Any such forward-looking statements reflect management's expectations based upon currently available information and are not guarantees of future performance and involve certain risks and uncertainties that are more fully described in our SEC filings. Our actual results, performance or achievements may differ materially from those expressed in or implied by such forward-looking statements. We undertake no obligation to update or revise any forward-looking statements to reflect events or developments after the date of this call. During today's call, we will discuss financial measures derived from our financial statements that are not determined in accordance with U.S. GAAP, including EBITDA, adjusted EBITDA, and EBITDA margin. A reconciliation of each of the non-GAAP measures discussed on this call to the most directly comparable GAAP measure is presented in our earnings release. At this time, I would like to introduce you to your host for this call, Lakeland Industries' Chief Executive Officer, Charlie Roberson. Mr. Roberson, the floor is yours.
Charlie Roberson: Thank you, operator. Good afternoon, and thank you for joining us today. I'm very pleased to start today’s call with the introduction of Mr. Roger Shannon, who joined Lakeland in February as our new Chief Financial Officer. Roger brings over 16 years of strategic and financial leadership of public and private companies as CFO, and we're very excited to have him on board. Roger, welcome to the team. We're also pleased to announce Helena An, as Lakeland's new Chief Operating Officer earlier this week. Helena is a veteran in our industry who brings extensive experience in various procurement and manufacturing leadership positions, including 25 years of outstanding performance and increasing leadership experience at Lakeland. And then, I'd like to extend the sincere thank you to Allen Dillard, who announced his retirement this week and has played an integral role in Lakeland's growth and success since he joined the company in 2019. We wish Allen all the best in his retirement. With that, I'd like to get started. We're pleased with our fiscal fourth quarter results as Lakeland delivered another quarter of sequential growth with net sales of $29 million. As we noted in our earnings press release, our net sales for the quarter include $1.3 million from the acquisition of Eagle Technical Products, which we closed in December of 2022. Organic sales of $27.7 million were up 3.4% from Q4 in 2022, but down 2.3% sequentially from Q3 of 2023. This is consistent with our pre-COVID seasonal patterns. Our fourth quarter gross margin of 37.5% was slightly below our long-term target of 40%, mainly as a result of temporary price concessions as part of our targeted inventory strategy that we discussed on our earnings call last quarter. The inclusion of Eagle Products on our platform, some of which carry lower gross margins and foreign currency headwinds. Importantly and distinct in the factors I just reviewed, I wanted to make sure to remind our investors that while the gross margins of some Eagle Products are lower than our target gross margin, Eagle's EBITDA margin is greater than Lakeland's current EBITDA margin and in line already with our long-term aspirational goals for Lakeland on this metric. We also continue to make progress on our various strategic initiatives laid out in previous calls. For example, we made good progress on our initiative to accelerate the reduction of our finished goods inventory during the quarter. With that said, these efforts were more than offset by an increase in raw materials and inventory acquired through the acquisition of Eagle. Finished goods inventory reduction remains a key focus for our global teams this fiscal year as we are committed to shifting into higher growth products and markets. We also made significant progress on the build-out of our global manufacturing facilities, particularly our facility in Monterrey, Mexico. As previously communicated, we expect this facility to be operational in the second half of fiscal 2024, which will greatly benefit our efforts to gain market share in higher value strategic end markets, most notably fire, high performance electric utilities, and chemical. Now, I'd like to spend a few minutes discussing the integration efforts and progress our team has made regarding Eagle Technical Products. Eagle has already begun representing Lakeland products within their markets and to their customers. They've already quoted Lakeland's NFPA gear in response to a customer bid. Additionally, Lakeland manufacturing is currently in the process of manufacturing Eagle Design products for CE certification for sales by Eagle and Lakeland teams into their respective markets. As Eagle's existing contract manufacturing arrangements expire over the next 2 to 3 years, our plan is to bring their product manufacturing in halves. As we look to the balance of our current fiscal year, some economic uncertainty and headwinds remain although our key end markets continued to demonstrate generally healthy fundamentals. The United States and North America continue to be solid overall. With mixtures of pockets of continued strength in areas of softer demand, we are seeing strengthening industrial demand, particularly within the U.S. oil and gas sector as turnaround activity has begun to emerge. We do not expect the 2023 turnaround seasons to follow their pre-COVID pattern. Turnaround contractors remain labor constrained, living the scale of work that they can accomplish in a short time frame. Consequently, we believe that turnaround seasons this year will be extended. Additionally, the European winter was not as great and economic headwind as originally expected, which combined with other factors led to European performance coming in better than expected that we're still talking about and experiencing softness here and haven't yet seen a return to full growth. Finally, we are seeing the beginnings of improving industrial activity in China, following the lifting of COVID restrictions and re-opening efforts. We currently anticipate that activity levels within China will begin to pick up across the second half of calendar 2023. Now, I'd like to conclude by providing an overview of our key strategic priorities for the upcoming year. First, we expect to deliver continued revenue growth in our core markets, as well as profitability levels in line with the company's 3 to 5 year targets. We will accomplish this through geographic targeting of specific products, turnout gear chemical and chemical fluids, and pricing deviation in disposables to select end users where we believe we can leverage the business to capture strategic sales currently held by our competitors. We also expect to continue investing in our global manufacturing footprint, with the end goal of strengthening our capabilities within our higher value, higher margin, and less commoditized products and markets. At present, the scheduled start-up of our new Monterrey facility dovetails nicely with our Eagle integration schedule. The acquisition of Eagle Technical Products greatly benefits both of these efforts as it enhances our product offering and geographic reach, as well as providing additional volume to our new facility in Mexico. Successful integration of Eagle's Product design and sales teams will be a key focus this year. We will also focus on reducing overall inventory levels in fiscal 2024. A continuation of the strategy we discussed earlier, we discussed last quarter. This strategy reflects our ongoing commitment to shifting into higher growth products and markets as I already alluded to. While certain pricing levers may be used to reduce disposables inventory levels, these efforts will be highly targeted and recoverable. Based on current inventory levels quarter-over-quarter as reported to us by our U.S. distributors, we anticipate this reduction will continue through the fiscal year. Next, Lakeland has been successful at maintaining a strong financial position, which has allowed us to fund both organic and inorganic growth, which will continue to be prioritized in fiscal 2024. In doing so, we will be well equipped to strategically develop new products within key end markets. For example, Eagle has brought us an innovative luminescent trim for our turnout gear that is not dependent on reflected light or batteries to make firefighters more visible in low light or smokey environments. Additionally, we've received CE certification and made our first sales of a powered air purifying respirator suit or PAPR suit. This technology creates positive pressure inside the suit by inflating the suit with a belt worn powered air filter and is commonly used in laboratory's chemical compounding and high VOC environments. Not only does the filter protect the wear, but the forced air aids in worker comfort and they are not tethered to an air supply. Outside of these important priorities, we continue to have discussions around the future and how to best leverage our dedicated global sales force. As we integrate the Eagle business into our platform this fiscal year and demonstrate an ability to maintain our targeted level of profitability from a gross margin and EBITDA margin standpoint, we expect to explore opportunities in various product categories that will comfortably position us to deliver on our above market long-term revenue target. I look forward to executing on our strong momentum in fiscal 2024. I'll now pass the call to Roger to provide an overview of our financial results. Roger?
Roger Shannon: Thanks Charlie and good afternoon everyone. Lakeland delivered sales of $29 million in the fourth quarter. Domestic sales were $11.9 million or 41% of total revenues and international sales were $17.1 million or 59% of total revenues. This compares with domestic sales of $14 million or 49% of the total, and international sales of $14.4 million or 51% of the total in the third quarter of fiscal 2023. While fiscal 2022 fourth quarter domestic sales were $11.2 million or 42% of revenues and international sales were $15.6 million or 58% of revenues. In terms of product mix for the quarter, disposables represented 48% of total revenues compared to 53% in the year ago quarter. Again, reflecting the efforts we've made to shift our product mix toward higher value, higher margin, and less commoditized non-disposable products more aggressively. Additionally, as we noted in our earnings press release issued earlier this afternoon, we saw sales decrease in Africa – in Asia versus the year ago quarter, and our expectations caused by the shutdowns and absence of typical year-end stocking ahead of the Chinese New Year, due to the country's zero COVID policy. These sales would primarily be disposables. However, we do expect to drive the mix of disposables down even further this fiscal year through growth in our strategic products. Gross profit as a percentage of net sales was 37.5% for the fiscal 2023 fourth quarter, as compared to 43.3% for the fiscal 2023 third quarter and 39.2% a year ago. As Charlie already highlighted, the sequential decline in our gross margin performance was in-line with the normal seasonality of our business this time of year, due to regional mix shifts though this year, our gross profit margin was lower versus the prior year due to several other factors, including our purposeful short-term strategic inventory price concessions, as well as the inclusion of Eagle Technical Products sales on our platform, product mix, and unfavorable foreign exchange impacts. Lakeland reported operating profit of $0.1 million in Q4 2023, as compared to $2.2 million in Q3 of 2023, and $1.1 million in the fourth quarter of last year. As a result, operating margins were 2.7% in the fourth quarter, down from 7.8% for Q3 2023 and down from 4.7% for the fourth quarter of last year. Our operating profit was negatively impacted by approximately $1 million of non-recurring expenses, including transaction expenses related to our Eagle acquisition, China restructuring expenses, and Mexico start-up expenses. Additionally, currency fluctuations primarily related to the Chinese yuan and Argentinian peso, which totaled approximately $500,000, negatively affected operating profit. Lakeland delivered net income of $0.2 million or $0.03 per basic share and $0.02 per diluted share during the quarter. This compares to $1.4 million or $0.19 per basic share and diluted share for Q3 of 2023, and $0.5 million or $0.06 per basic and diluted share in the prior period. EBITDA for the fourth quarter of fiscal 2023 was $0.5 million, compared to $2.6 million for the third quarter of fiscal year 2023 and $2.3 million for the fourth quarter of fiscal 2022. Adjusted EBITDA was $1.8 million in Q4 of 2023, compared to $3 million in Q4 of 2022. For the 2023 fiscal year, the company's effective tax rate was 65.8% as compared to 29.6% for fiscal 2022. Our effective tax rate for fiscal year 2023 includes the impact of $1.8 million in discrete items resulting from a $2 million provision for withholding taxes for the planned repatriation of cash from China and a $200,000 benefit related to an accrual of China's social taxes. Our effective tax rate, excluding the impact of the discrete items was 32.9%. As a result of the implementation of transfer pricing strategies in the fourth quarter and improved tax planning, we expect our full-year fiscal 2024 effective tax rate to be in the 23% to 25% range. Capital expenditures for the 3 and 12 months ended January 1, 2023 were $712,000 and $2 million, respectively. For the full-year, our capital expenditures were related to our capital purchases for our manufacturing facilities in Vietnam, the enhancement of IT infrastructure, and equipment purchases supporting the new manufacturing facility under development in Monterrey, Mexico. We anticipate FY 2024 capital expenditures to be approximately $3 million as we complete the new manufacturing facility in Monterrey and replace existing equipment in the normal course of operations. We expect to fund the capital expenditures from our cash flow from operations. Now, moving to the balance sheet. Lakeland ended the quarter with cash and cash equivalents of approximately $24.8 million. Sequentially, the drop in our cash balance was driven primarily by the $11 million purchase of Eagle Technical Products in December. The company continued to have no debt at the end of the quarter and has up to $25 million available from bank credit facilities. The company did not purchase common stock under its repurchase program during the quarter leaving approximately $5.4 million remaining under the current authorization. As it relates to our capital allocation priorities, we were pleased that our Board approved and initiated a quarterly dividend program in February after our fiscal quarter-end. We believe this decision is supported by our strong financial results and is ultimately an expression of our confidence in the embedded growth of Lakeland this year and beyond. With that overview, I'd like to now turn the call over to the operator to open up for questions. 
Operator: Thank you. [Operator Instructions] The first question comes from Alex Fuhrman with Craig-Hallum Capital. Alex, please proceed.
Alex Fuhrman: Great. Thanks everyone for taking my question. Wanted to ask about some of the gross margin headwinds that you saw in the fourth quarter, you mentioned a couple of different things, some of which are obviously out of your control like foreign currency, fluctuations of the things that you do have a little bit more control over. Can you give us a sense of how much of that was expected, like it sounds like some of the headwinds related to the Eagle product mix were expected? And how much of those headwinds we should expect to see in Q1 and throughout this year versus maybe what would have been one-time in nature in the fourth quarter?
Charlie Roberson: Alex, aside from the currency headwinds, we're not surprised by where we landed Eagle. Actually came in a little bit lower than we initially anticipated because some of their sales were pushed into Q1. That said, Eagle is positive for EBITDA margin, and we're not going to really overreact to what Eagle does to that number. What we watch and what we are working as hard as possible to control is the selected pricing deviations that we make to try to clear inventory and as you heard on my call also selectively go after competitors business. We're working very closely with our financial analysts to model that and make sure that we retain control of it and keep the number within the range of where we are.
Alex Fuhrman: Okay. That's helpful. Charlie, thanks for that. And then those temporary price concessions, are those on certain products and have those continued at all? At this point, you've got a good chunk of Q1 completed here. I mean should we expect to see similar activity like that in the first quarter?
Charlie Roberson: Yes. We continued those programs into the first quarter. The concessions that we are making are both product specific and customer specific. It's very important to us that the margin concessions be recoverable. And for that reason, we have to keep it customer specific, so we know where to go to recover it. We don't want to just reduce margin and create an environment where one distributor is buying business that’s at a high - our business that's at a higher margin. So, we control that very carefully.
Alex Fuhrman: Okay. That is helpful. Thanks. Thanks, Charlie. And then if I could ask about your manufacturing. If I heard you correctly, it sounds like you're looking to bring Eagle’s product manufacturing all in-house and you have a little bit of excess capacity in your own Mexican manufacturing operations. What is the gross margin implication of that? Is the $3 million of CapEx you talked about for this year, I mean, is that include any sort of investment you would need to bring that manufacturing in-house?
Charlie Roberson: That investment is for the Monterrey plant. Let me just briefly – Monterey is not going to start-up manufacturing the turnout gear. We're going to put that through our existing facility in Juarez. We will gain capacity in our Juarez facility by vacating our chemical and our wovens and our high-performance product lines, which we will move into Monterrey. So, there's not a direct link between Monterrey and Eagle other than the fact that it passes through Juarez. We have already begun certification work of product from Juarez, so that we can immediately begin making and selling Eagle Design product in South America, India, and other places. We will be ready to take or bring Eagle's contract manufactured business in-house long before the contractual obligations to stay with the contractors expire.
Alex Fuhrman: Okay. That's really helpful. Thanks Charlie.
Charlie Roberson: Okay.
Operator: [Operator Instructions] Okay. We have no further questions in queue. We have reached the end of the Q&A session. And I will now turn the call over to Charlie Roberson for closing remarks.
Charlie Roberson: Thank you all for joining us on today's call. We look forward to sharing our success with you in fiscal 2024, and have a good day.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.